Operator: Good day, and welcome to the Cousins Properties Incorporated Third Quarter 2012 Earnings Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Tripp Sullivan of Corporate Communications. 
Harry M. Sullivan III: Good morning. Certain matters that Company will be discussing today are forward-looking statements within the meaning of Federal Securities Laws. For example, the company may provide estimates about expected operating income from properties, as well as certain categories of expenses along with expectations regarding development, acquisition and disposition opportunities.
 Such forward-looking statements are subject to uncertainties and risks and actual results may differ materially from these statements. Please refer to the Company's filings with the Securities and Exchange Commission, including its annual report on Form 10-K for the year ended December 31, 2011, for additional information regarding certain risk and uncertainties. Also certain items that Company may refer to today are considered non-GAAP financial measures within the meaning of Regulation G as promulgated by the SEC. For these items the comparable GAAP measures and related reconciliations maybe found through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of its website at www.cousinsproperties.com.
 And now, I will turn the call over to Larry Gellerstedt. 
Larry Gellerstedt: Good morning, everyone. First I'd like to let all of our friends up the eastern seaboard know that you’ve been very much in our thoughts this week. We hope that you and your families weather the storm without any catastrophic damage and that the pending recovery process goes as smoothly as possible. Times like these certainly put things into perspective for all of us.
 With that said, let me give a few thoughts on our business. Our third quarter results with the sale of a non-core business unit agreement to sell 2 of our largest retail assets, the acquisition of a strategic office tower in Texas and another solid performance for the operating portfolio demonstrate continued progress across the board.
 The operating performance is best exemplified by a 4.1% increase in same property NOI through the first 9 months of the 2012. This uptick is even more impressive on a cash basis at 10.2%. Moving forward as we said often, our portfolio will be increasingly comprised of Class-A office assets that are well placed within high growth Sun Belt markets, where our expertise and long-term relationships are competitive advantage. Further, playing to our strengths, we are using this stable platform to seek additional returns through opportunistic investments.
 Operationally, as we work to execute this strategy, we remain tightly focused on simplifying the platform, capturing NOI embedded within our portfolio and executing on investment opportunities.
 The first of these simplification should serve to further remove the NAV discount from our shares. The latter 2 embedded NOI and investments should drop future NAV growth both organically and externally.
 First let’s discuss simplification, aside from its positive impact on valuation the ongoing simplification of the platform provides 2 important benefits, first it enables us to operate more efficiently and to focus where we are strongest.
 Our ongoing G&A reductions and positive same property NOI performance provide a clear illustration of these benefits. Second, the non-core asset sales associated with this process were the primary source of capital for our investment pipeline.
 With that said, we made another big stride in the third quarter with the sale of our client services business to Cushman & Wakefield. As a relatively small regional player in this sector, we were finding that increasingly difficult to compete against the global players, who could offer clients a far broader array of services.
 And while this business did not comprise a significant portion of our income stream, it did comprise a significant portion of our infrastructure with over 120 professionals. Thanks to the high quality track record of these professionals and C&W was thrilled to bring on board, we managed to capture an attractive multiple with a little better than 5x forward EBITDA.
 We were particularly pleased with pricing considering that Concourse the largest property in the third party portfolio was sold to an outside operator during the marketing process. In summary this transaction enabled us to exit a non-core business at a healthy valuation, reduce overall costs and further tighten our focus on our core business.
 On the retail front, we entered into contracts to sell 2 of our largest remaining life style centers, Avenue Webb Gin and Avenue Forsyth and expect these 2 transactions to close before year-end.
 Our Landis position initiative continues to proceed on schedule, earlier this month we sold Cosmopolitan Center, a redevelopment site on the north side of Atlanta for $7 million. We expect to close on the sale of our site at 615 Peachtree Street at midtown later today. Upon closing that transaction we'll have sold over $50 million of land and residential holdings year-to-date, and expect to exceed our goal of $60 million by year end. By 2013 we expect to have less than $50 million in land holdings amounting to less than 3% of our gross assets.
 It’s important to note that these dispositions are generating a significant amount of capital leaving us very well positioned to capitalize on opportunities in the quarter ahead, which I'll discuss further in a moment
 Now the second item, embedded NOI. The operating portfolio is in good shape at 91% leased, on a same property basis. However there is still significant opportunity for cash flow growth within 4 large office properties.
 On the last call we [indiscernible] 3 office assets, 191 Peachtree Street, Promenade and ACSC to help quantify the impact of leasing our space. We're adding 2,100 [indiscernible] to this group this quarter and we believe that taking these 4 assets to 90% leased, we generate approximately $13 million of additional NOI. For company of our size, the impact on both FFO and NAV is substantial.
 Now a quick update on those key assets. 191 Peachtree continues to show progress finishing the quarter at 87% leased, up from 80% one year prior. This asset was just 82% occupied at quarter-end meaning we captured some additional NOI that will come online as the newly signed tenants take occupancy in the coming months.
 In Promenade we remained ahead of pro forma on both leasing volume and rates and momentum remains strong. The building is now 72% leased up from 58% at the time of purchase at the end of last year, with a solid pipeline of prospects. We are finishing up the $8 million capital improvement project, which includes a Fitness Center, Bistro and a significant re-work of the entrance area and the upgrades are getting very positive feedbacks from both existing and prospective tenants.
 One additional point regarding Promenade, earlier this year we made a decision to execute a significant renewal extension with one of our largest tenant. As part of the agreement the tenant gave back 1 of 4 floors, which eroded occupancy by about 3% that extended their lease for an additional 8 years to 2024. This brought the average remaining lease term at Promenade to over 8.5 years. Our high level of confidence in leasing this building enabled us to make this move. And I’m happy to report that subsequent to the end of the quarter that we have already back filled the vacant floor.
 At ACSC we continue to pursue a handful of both data and office prospects, but nothing appears eminent at this time. This building with 130,000 square foot floor plates caters to very large tenants making the timing a bit tougher to handicap. However, we continue to like our chances due to the buildings attractive location, uncommon infrastructure and overall value proposition.
 Moving onto the third item executed in on investment opportunities, we’re primarily focused on acquiring high quality urban office assets, well located in the best sub-markets at valuations below replacement cost. The remainder of our investments are more opportunistic in nature. And less property type specific, where we have an opportunity to create value through our development expertise. These are typically non-marketed relationship driven projects.
 We have a robust investment development pipeline in place, and are diligently working to source additional opportunities. The potential value creation associated with the existing pipeline alone should have a considerable impact on forward NAV. Our third quarter acquisition of 2100 Ross Avenue, an 844,000 square foot Class-A tower located in the Arts District submarket of Dallas is a perfect example of what we are targeting.
 We purchased a 67% lease building at a foreclosure auction for a net purchase price of $59.2 million or $70 per square foot for an asset with a replacement cost well above $300 a square foot. Most importantly, the building is generating a [indiscernible] yield above 8% with significant upside upon further lease up. Similar to Promenade, we’re implementing a comprehensive capital improvement plan, that should greatly enhance the tenant experience.
 We also intend to leverage the building's location adjacent to Dallas leading cultural venues and the new 5.2 acres Clyde Warren Park, which now connects the Arts District’s to uptown Dallas. I was in Dallas just last week and although we’ve only owned the building for little over a month, the shift in momentum is clear.
 Tenant traffic is up and the pipeline of prospects is strong. The development pipeline also continues to show encouraging process.
 At Emory Point, both apartment and retail leasing continues to exceed expectations. The first hundred apartment tenants have moved in and more than doubled the projected pace of absorption. We expect the next big uptick in leasing to come early next year, when we are beyond the holiday season and perhaps most importantly, the construction will be complete. The retail portion of the project is 87% committed, with only 4 vacant retail spaces remaining. The retail team has been selective with the remaining space, to ensure we get the right tenant mix.
 Mahan Village our Publix anchored project in Tallahassee, opened a few weeks ago at 87% lease, and we expect to have it over 90% leased by year-end. This centre is located in an infill location with Publix pre-locating a high performing, but smaller and outdated store from across the street. Just as a reminder, this was an opportunistic related relationship driven investment, where we stepped into the position of the original developer. With the completion of Mahan, we have now accumulated off market, a portfolio of 5 Publix anchored shopping centers, generating a solid return.
 Looking further ahead, we’re optimistic about the prospects for Phase II at Emory Point, which is expected to comprise 240 additional apartment units and 40,000 square feet of retail space. If the pre-development process remains on track, we’ll commence construction for this $60 million phase in the first half of next year. Our $100 million mixed-use development at UNC also remains on track for our late 2013 commencement.
 Third, in Colorado, our proposed $130 million office tower at downtown Austin continues to move forward as well. The pipeline of prospects is strong, and tenant feedback has affirmed that we have the best site and a great design.
 The biggest challenge is getting firm tenant commitments 2.5 years in advance of occupancy. We are pushing hard and hope to be in a position to commence construction in the first half of next year. Austin remains one of the strongest markets in the nation with unemployment now down to 5.3%. Class A vacancy in the CBD where we see the best opportunity is below 13%. Rates continue to trend at or above replacement cost, while vacancy continues to trend down. The CBD is a particularly tight market for user seeking continuous space in excess of 20,000 feet with only a couple of viable options currently available.
 Now let me comment on our other key markets. Atlanta continues to surprise on the upside. Unemployment rate is down to 8.4% and looks like we will be seeing around 40,000 new jobs this year. Both these numbers are far better than the experts were predicting. Atlanta has now fully regained all of the professional services jobs lost in the recession. Reflecting this positive momentum office market is on pace for its best year since 2006 with over 3.3 million square feet of absorption through the third quarter.
 Dallas’s economy also continues to outpace the nation by a significant margin with unemployment down to 6.3%. Class A vacancy in the uptown sub market where we’re focused is in the low teens and projected to reach single digits over the next 24 months. As I mentioned earlier, we are particularly excited about the rollover in the uptown CBD markets over the next 12 to 36 months.
 Houston is leading the nation in jobs and growth and with single digit vacancy at every sub market is home to one of the healthiest office markets anywhere. We continue to track Houston closely, and hope to find some opportunities in the months ahead. North Carolina is doing very well too, particularly in the Raleigh-Durham market, where we’ve been most focused. The momentum is perhaps best captured by Raleigh’s unemployment rate, which has declined from 8.7% in September of 2011 to 7.2% in September of 2012. Class A vacancy for the overall market is around 12%.
 In summary, it was a very active and productive third quarter with continued progress toward our strategic goals. We are focused intently on 3 things, all of which tied directly to our overall strategy, simplification, capturing embedded NOI and executing investment opportunities. The upside potential associated with these items is considerable, and we believe will be the key driver of both short and long-term results for our shareholders.
 I’d like to point out in closing, that this upside is juxtaposed against a very attractive overall risk profile. The balance sheet is rock solid with leverage below 40%, the weighted average lease term in our portfolio is over 7 years, and the conditions of our markets continue to steadily improve. Needless to say, we are very excited about the prospects that lay ahead.
 With that, I will pass it along to Gregg for an overview of the financials. 
Gregg Adzema: Thanks, Larry. Good morning, everyone. The third quarter continued a string of solid quarters we’ve had throughout 2012. However, before I jump into the numbers, I thought it might be helpful to quickly review the handful of special items that were in our third quarter results.
 First, as Larry just discussed, we sold Cousins Properties Services, often referred to as CPS during the quarter. The total potential sales price is $15.4 million, of which we received about 64% upfront. The earn out of the balance is dependent on driving fees at the properties included in the sale, as well as adding additional properties to the deal. With a few exceptions the earn out will be settled up a year from closing. We recorded a gain of $7.4 million during the quarter and any additional proceeds we do receive will be recorded as additional gains as we receive them.
 The second special item has to do with the participation interest we purchased in an acquisition we completed in 1999. In this purchase, we assumed the development contract that entitled us to 50% of the proceeds after debt from the sale of Motorola’s 1 million square foot campus in Austin, Texas. This project was eventually sold in 2008 generating cash of $27 million of which we received $13.5 million and an $18 million seller’s note that had a ladder debt maturity between 2014 and 2016.
 The buyer chose to pay half the note $9 million early this past quarter. This generated $4.5 million to us during the quarter which runs through fee income on the earnings statement. There was also a $1.1 million commission associated with this transaction. With that expense running through other expenses, for net proceeds of $3.4 million, this is the number reflected in the special table on the earnings release.
 Next, we took the last write down on our Verde investment that was made back in 2004. As many of you are probably well aware, after protracted negotiations, Verde agreed to a merger with Brookfield during the third quarter at a gross price of $13.85 a share or $13.45 net of a hold back.
 We have previously written down our investment in Verde, down to the very bottom of a Verde provided NAV range of $14.67 per share. This transaction results in an additional write-down of $488,000 and when the deal closes, which is scheduled for later this year we will be completely out of Verde.
 Finally, we completed a strategic reorganization in the third quarter that resulted in net severance costs of $574,000. We anticipate an additional $1.1 million in severance costs in the fourth quarter and the reorganization is finalized. This move is a direct result of the simplification steps that Larry discussed earlier.
 We anticipate this move plus our sale of CPS to lower our corporate G&A expense from the $25 million range in 2012 to the $22 million range in 2013, and our CPS G&A to move from about $18 million now to zero. To put this in perspective, we’ve now moved these 2 overhead line items from over $42 million in 2008 down to $22 million today. And as our current investment pipeline bears out, we’ve done this without compromising our ability to find and complete compelling off-market value-add opportunities.
 Now for the numbers. For the third quarter, we earned $0.25 a share in FFO, $0.15 excluding special items. Performance was driven by solid, same property operating numbers and terrific leadership at the Big 4, previously the Big 3 properties that we have refinished and are laser focused on leasing up. As of September 30, we signed the leases representing a little over $3 million of the $13 million embedded NOI target that Larry talked about earlier with about a third of this number actually captured in the third quarter financials.
 We also starting to realize cash flow from our 2 new development projects, Emory Point and Mahan Village. The NOI hasn't been terribly meaningful yet. Combined these 2 assets produced $46,000 in NOI in the third quarter. But the cash flow is coming; both projects opened with significant preleasing already in place, and as soon as we get these residents and these retailers in, cash flow will soon follow.
 Overall, the balance sheet remains solid, fixed charge coverage continues to move up, leverage continues to move down. There are no unaccounted for near-term debt maturities and our dividend is well-covered. From a financial perspective, we are well-positioned to execute our strategic plan.
 With that, I’d like to update the guidance for 2012. Other than the G&A guidance I just gave a bit earlier; we will provide 2013 guidance in the fourth quarter earnings call. Before I start, I want to remind everyone that we only provide data for specific property assets where historical performance may not exist or may not be a good guidepost for future performance.
 That being said, we only have one specific property level update to our guidance, 2100 Ross Avenue in Dallas this quarter. We purchased 2100 Ross about one month into the third quarter. so the NOI in the supplement doesn’t really provide an accurate guidepost.
 Going forward, we anticipate this property to generate about $1.2 million in NOI each quarter until we sign some significant new leases. Also now that we sold our third-party business, we’ve deleted this line item from our income statement, and obviously won’t provide any future guidance. But just for clarity, the third-party results for the third quarter have been moved down into discontinued operations.
 Finally as I mentioned earlier, the $4.5 million participation interest we received in the third quarter ran through fee income, our line item for which we typically provide guidance. This participation interest was not included in our previous guidance, and so I need to add it now.
 As a result, the fee income in 2012 should move up from a range of $10 million to $11 million to a new range of $14.5 million to $15.5 million. Other than that, I’m happy to report everything else continues to come in right on plan. We have no other changes for 2012.
 That being said, I do want to again briefly discuss the earnings implications of the capital recycling program, we’re in the midst of executing. Strategically, it’s very compelling. We’re pleased with the results to date, and I think many of you listening to this call are as well, but we’ve got more work to do.
 In the near-term, we have several assets under contract for sale that should close prior to year-end, generating around $250 million in cash proceeds over just the next 2 months. Included in this number, our proceeds from Avenue Forsyth, Avenue Webb Gin and our Palisades office property in Austin, Texas where our partner has notified us that he is exercising his purchase option.
 We also have several parcels of land that will sell before year-end. That’s over 10% of our gross asset base, not an insignificant number. It’s a lot of very powerful dry powder for us to use, as we look at new investment opportunities and as Larry said earlier, we’re excited with our investment pipeline. But it will take time to deploy these proceeds.
 We will remain disciplined and we'll adhere to our strategy. But in the meantime, in addition to the performance of the existing property portfolio, please take into account our capital recycling activities as you generate your new earnings forecasts.
 With that, let me turn the call back over to the operator. 
Operator: [Operator Instructions] And our first question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. 
James Feldman: I was hoping you can talk a little bit more about 191 Peachtree and American Cancer Society. Just kind of leasing prospects and what you guys are seeing in the data center space versus the office space. 
Larry Gellerstedt: I will tell you on American Cancer Society, we're seeing -- we began our remarketing effort to the data users earlier this year and we’re seeing a lot of interest from those users. And what we’re not in a position to do is try to handicap exactly when those might convert to leases. And what I’d say that the users are finding that the building is extraordinarily compelling, in terms of its location and infrastructure. And that is generating a lot of interest. The timing issue is some of these users, particularly the ones that are public in nature are more used to owning their space than leasing space, and so it has taken a while to sort of work through those economics for them. But in the meantime, the building remains very attractive from an office user standpoint as well. It’s just, it’s different than your normal office building lease up because of those 130,000 square foot floor plates, is your leases just tend to come in big chunks and therefore the progress is a little bit more difficult to predict. [Indiscernible] as 191 Peachtree, I think you can see that we had great leasing momentum over the summer and just to dial back when we bought this building, it was 20% occupied. And so we’re now, we’ll move up to 87% occupied and where we’ve got existing tenants that are talking expansion. So we feel good about 191 Peachtree, I would tell you that downtown Atlanta, the office market remains slow, it’s not bad but it’s just slow relative to a midtown or a Buckhead. And we’re going to do some efforts to make sure that we work to keep the downtown market in front of the tenant rep brokers and others because there is so much positive going on with downtown. 
James Feldman: Okay. And then I guess a similar question on 2100 Ross. What’s the typical tenant that wants to be in the Arts District right now or do you feel like you have to kind of bring people to that market or that submarket? 
Larry Gellerstedt: No, the market is very full. There is an article in one of the leading Dallas business magazines I think it’s called Big D, which will be appropriate for Dallas. But that features this park, this 5-acre park that’s fancy interstate and connects the Arts District where all the symphony halls, the museums and all those components and Dallas have been put in on location over the last couple of decades. It really connects Uptown and Arts District market into one and the occupancy rate in that market is very low and contiguous space is very hard to find. What’s happening in Dallas is, is that some of the traditional downtown tenants of the CBD of Dallas. If you look at the last 5 to 10 years have generally been migrating out of the CBD to the Uptown Arts District model. And so the 2100 Ross deal actually is a main and main location. It's just an older building that has sponsorship or capital improvements done to it in awhile, but the largest tenant in that building is CBRE, and you’ve got a really a very strong tenant roster and we just feel really confident that the combination of the momentum in that submarket as well as our sponsorship and some capital that that will be a very, very compelling investment. 
James Feldman: Okay. And then finally Greg, in the press release you talked about further severance charges, is that still related to the Third-Party Management business or is there more going on? 
Gregg Adzema: The costs related with the Third-Party Management sale were wrapped into the Third-Party Management transaction. These costs are incremental to that; these are corporate reorganization costs excluding the third party sale. 
James Feldman: Okay. 
Larry Gellerstedt: So what you have got going on there, Jamie, is that we’ve -- when the Third-Party business was sold, there were some further corporate restructuring we were able to do, and those costs are -- some of them flowed through in the third quarter which is what you saw and the balance are some folks that will be here through the end of the year, and so their severance costs will flow through in the fourth quarter. The good news is, is that it really after a couple of years of really working on the cost structures we got out of these non-core businesses, is that we’ve really got the platform of where we want from a cost and size standpoint on a go-forward basis. 
James Feldman: Okay, and then my last question is, I mean, Austin, I think you said you had the best site in town, I mean we're hearing there are several potential developments there. Like how do we get comfortable that there is not going to be too much supply come online in that market? 
Larry Gellerstedt: Well, the -- if you look at who has gone through the entitlement process is the best way to track Austin, because it’s a very difficult city in terms of getting through the entitlement process and if you look at who is at the tail-end of getting their final check-offs, it's us and then there is one other building that’s about 180,000 feet. That's about exactly where we are. The other buildings that you hear talking about in Dallas are much further behind us in terms of their process and I would say are at least 9 to 12 months, if they would decide to start going today, would be my guess. So I would expect that probably in this cycle, because so much of the downtown Austin market rolls in a 2, 2.5 year time period. I would think that you probably would see at most 2 buildings go, which would add a little over a 0.5 million square feet, which that market has certainly shown an ability to absorb. 
James Feldman: Okay, so you’d be comfortable even if that other building got started. 
Gregg Adzema: Yes, I mean, but we also are really watching closely the preleasing activity we can get and I want to give just a little bit more color on that, your tenants, most of your tenants in the downtown Austin market because of the state capital and some other components of Texas are -- there are 10,000, 15,000 foot tenants, I think the average size deal in downtown, Austin is 10,000 square feet or something roughly like that. So when you talk to tenants of that size about preleasing, but it’s a decision that their leases are out for 2 or 2.5 years is not a question of interest, it’s just a question of getting prioritization of why is this something I need to jump on right now. And I was out in Austin for over a day last week meeting with tenants myself. I just couldn’t feel more positive about where we sit, where our building is, the response from tenants. But we also are going to be very disciplined in making sure that we’ve got enough preleasing and enough in the pipeline that we feel on a risk-adjusted basis that it’s a compelling investment to make and if it’s not, then we won’t do it. But I feel very positive about it right now. 
Operator: And our next question comes from the line of Brendan Maiorana with Wells Fargo. 
Brendan Maiorana: Larry, so what’s the level of preleasing that you think you’d want to get before you make the go decision at Third in Colorado? 
Larry Gellerstedt: Good question, Brendan. I’d sort of give you the range. We set an internal thing, you certainly would pull the trigger and go with the high 40s, 50% level there, you can get construction financing and just the market is so compelling in that level. That’s a pretty easy decision, and the other range, we’re not going to start at zero. So then the question gets to be, if you were to start at less than 50 and above zero, what’s that magic number? And to me, that magic number is really a combination of 2 things; one is how many firm commitments we can get, actual leases in our pocket that we know are good. And then how may LOIs we can get that are leases that we have a strong feeling in terms of being able to convert those in the first half of next year. And then we’re going to have to make a gut call, and the thing that I’ll remind people about Austin market is the -- I’ve certainly never seen in developments that I’ve been involved with where you got a new building coming on at a great location in the CBD area, and the tenants that you’re talking to that are existing tenants, that you’re talking about rents and the new buildings that are either flat or lower than rents they are paying in buildings that are much older. Great buildings, we built some of them. But it’s a pretty compelling thing, but in that range we’re definitely a no at zero, we’re definitely a yes at 50, the judgment call comes in between and that’s and we’re probably going to end up in between. 
Brendan Maiorana: Okay. And when you’re saying 50 preleasing, you’re talking about actually having leases in hand as opposed to leases plus LOIs. is that right? 
Larry Gellerstedt: Yes. I mean that would be a very easy decision. But I don’t think we’re going to end up with that decision, I think we’re going to end up with something that we’ve got some leases, some really strong LOIs, and then we’ll look at the pipeline. It is a very compelling market to be -- and I think putting 350,000 square foot in that downtown market, there is a real need for it and a demand for it. 
Brendan Maiorana: Sure. Larry, another question just in the terms of with all the capital that you have coming in and the new investment opportunities and development is one of them and you talked about acquisitions too. If we look at your home market in Atlanta, there has been a couple of deals that have happened there over the past few months where maybe buyer reception wasn’t as significant as what sellers thought. Initially there has been, I think at least 1 or 2 deals that maybe got pulled. We know the Texas markets are strong in terms of new investment opportunity, pricing. Are you seeing that in the other markets where you are looking at maybe pricing is backing off a little bit and that gives you a little more confidence that you'll be able to gets some deals done? 
Larry Gellerstedt: That’s a great question Brendan. I think what we clearly have seen in Atlanta is you saw some assets trade at pretty aggressive numbers over the summer to Alliance. We thought was a pretty strong number particularly as we look at Terminus. You saw the Concourse deal which I mentioned in my speech get done and then you have seen a couple of assets get pulled, I think the reason that the assets got pulled from the sellers, at least the ones that I’ve talked to is, as Atlanta has gotten better, their pricing expectations have gone up, and their comfort level with holding has also gone up. So whereas someone might have been willing 2 years ago to sell at 90% of expectation, we got at least in one case I was happy to be talking to the guy 2 nights ago, and they came in about 96% of the expectation, and decided 96% wasn’t good enough, but I do think that we are very cognizant of some of the aggressive pricing that’s going on in Texas and we're being very disciplined about that, we do have some opportunities out there on the acquisition side as well that are consistent with our strategy but we will remain very disciplined. We also certainly have not turned off looking at opportunities in Atlanta even though we want a geographically less in our amount of our portfolio in Atlanta. And I’d point out that when we sell these 2 retail centers both of which are in Atlanta, that will be a significant amount of capital that we’re freeing up that is currently invested in Atlanta assets. And so we keep our eye certainly close on the Atlanta market and we pull the trigger on something in Atlanta if we thought it was compelling and consistent with our strategy. 
Brendan Maiorana: Sure and that’s helpful. Did you guys provide the pricing on the 2 retail -- the 4 sites in Webb Gin? 
Larry Gellerstedt: We have not provided that yet. We just got them under contract, and we would expect, both those contracts are now hard with the buyers with significant earnest money down, and so we feel very confident that both of those will close by the end of the year. And buyer interest on both those assets was very strong. 
Brendan Maiorana: Okay, and then just for Gregg, you kind of alluded to this in your prepared remarks, but with all the capital that’s coming in, how should we think about what’s likely for the use of proceeds you got, the preferreds which I guess potentially in one or both of the tranches can be repaid there’s from debt that’s maturing next year but there’s not a lot of, they wouldn’t appear to be a lot of near-term uses of that capital coming in. 
Gregg Adzema: That’s right, Brendan, we feel confident in our investment opportunities, but none of them are close enough to the finish line where we can disclose them. But we’re going to have -- the timings not going to be perfect on this capital recycling. We're going to be sitting; we’re likely going to be sitting on some cash for a period of time. We had $90 million outstanding on our line at quarter-end. And as I said, we’ll have $250 million in cash coming in. So there is a high probability that for a short period of time, we’ll have a large cash balance on the balance sheet. And so that’s what I’m referring to when I say, please take that into consideration, as you guys generate your fresh earnings forecast for ‘13. 
Brendan Maiorana: I’m not sure about the numbers. 
Gregg Adzema: Well, I don't think we’ll have it for a long period of time. I know we won’t have it for a long period of time. If our investment opportunities don’t pan out, we do have the option of buying in either our preferred or common stock, mostly likely our preferred stock, it’s in the Series A is 7 ¾% coupon, we’d immediately receive 7 ¾% return on purchase, not the worst investment we can make in the world. But in the near-term while we let these investment opportunities flesh out to see if they come to pass or not, there will be a period of time where we’ll likely sit on [indiscernible] cash. 
Larry Gellerstedt: Brendan, I might just add one thing, just as a sort of a side note, when I became CEO in July of ‘09, I made a little marker and I dreamed of the day that I would get the question of what we’re going to do with cash. So, thank you for making that come true. It's been a long haul. 
Brendan Maiorana: It's a tough problem to have, right? 
Larry Gellerstedt: Exactly. 
Operator: And our next question comes from the line of John Guinee with Stifel, Nicolaus. 
John Guinee: So Larry and Gregg and Cameron, you guys are a little bit of an oxymoron. You're a small cap REIT that doesn’t need capital. So congratulations. How are you guys thinking about joint ventures these days? Is that an arrow in your quiver in terms of the things you’ll do? And when you do it, will you do it as a capital source versus a value add partner. And then refresh our memory on a couple of the bigger ones such as Murfreesboro and Charlotte Gateway, the big sale leaseback to BofA. 
Larry Gellerstedt: Well let us start with the assets John, let me -- let Gregg walk through Murfreesboro and Gateway. I’m really glad you asked the question on Gateway because I think as we have simplified the company. Gateway may be the one that needs the most clarification. 
Gregg Adzema: The Murfreesboro is a large lifestyle property that we owned in Tennessee and a 50-50 joint venture with Faison. It has floating rate debt associated with it, mid $90s million in terms of the debt that matures in July 13, obviously, no prepayment penalty with floating rate debt. And we were in the process right now with Faison of deciding what to do. We have an option of selling it, obviously we have an option of refinancing it. And we’re in the midst of working through that right now. I would tell you that we’re both leaning entirely towards selling it before the debt matures in the summertime, but no firm decision has been made. And then in terms of Gateway Village that’s a property that we owned in a joint venture with BofA. So 1.1 million square foot property in downtown Charlotte, it's where they have all their back office operations. It’s 100% leased through 2016. That lease corresponds to the debt. The debt is a fully amortizing piece of debt. So come 2016 when the lease expires there will be no debt on the property. We’ve received about 11.5% deferred return that we recognized in our income statement every quarter. And it gets a little squirrely on the backside, but really the likely outcome is that they can either when their lease matures and the debt matures, we can either retain 50% ownership interest in the ongoing building or they can buy us out, providing us with the 17% look-back IRR in our initial investment, which was $10.5 million. And they have not indicated what they’re going to do and it’s still 4 years away. So in the meantime we are running in the building as it was originally intended to be run, and we’ll wait for an indication from BofA. 
Larry Gellerstedt: And then, John, in terms of your question on joint ventures, I do think that our creativity in terms of being able to structure ventures appropriately and with partners as a competitive strength. I think if we look at the public’s deals of where and the first 4 of them we were a capital provider and then the fifth one we stepped in and did the development as well, but even when we were a capital provider we had the knowledge and skill-sets to come in and add value and if the deals have gotten in trouble, we certainly could have taken them over. I think the same of Emory, I was just out looking at Emory yesterday, they’ve just opened the -- when we talk about the over 100 apartments rented, this is under project that's still under construction and has been leasing out of a trailer. So I went out yesterday to see they’ve just opened the leasing office out there. And I would say venturing with Gables on that deal, they have added a tremendous amount of value and the 25% of the deal that we gave to them we feel very good about it. I think the same thing in downtown Austin if you sort of took the glass that’s half empty approach if that deal does not happen then we are not left with a huge landholding in downtown Austin. We partnered with the land holder there, so our exposure today is probably a little bit over $1 million in pre-development costs versus -- plus being in the $15 million because we bought aside and had that. So I think it’s certainly a strength. Our preference obviously is if we can find deals to do that are 100% Cousins is cleaner. If we do ventures we would like to -- our next preference would be obviously to be the operator because we once again think that's very much a part of our prior skill set, but we -- on the opportunistic side you’ve got to be creative to get the value and keep the risk in check and I do think it’s competitive strength. 
Operator: [Operator Instructions] And our next question comes from the line of Michael Knott, with Green Street Advisors. 
Unknown Analyst: This is [indiscernible] here with Michael. A question as far as just sort of with the deals getting pulled in Atlanta and pricing getting pretty full in Texas as you mentioned, does it make you want to cast a wider net geographically in order to search kind of compelling opportunities? Could we see you guys doing a big deal in Florida let’s say? 
Larry Gellerstedt: I think first of all, I feel really good about our pipeline and so we have not felt compelled for a lack of what we think are good prospects to cast a net further, having said that we certainly consider anything in the Southeast to be within the net. It's just not the primary part, so could you see us potentially doing something in the national Tennessee or a market like that -- Tampa, Orlando you could, and we look at those deals that come through. But so much of our strength is on the ground management and leasing, it’s a real differentiator for us. And so we’re not ones that unless there was something very unique about it, where we found a local partner that brought some value, one-offs are not exactly our strategy on our long-term hold deals. And we constantly study other markets. I mean we’ve got a group that’s dedicated to do that, we look at the South Florida market periodically. But I really would stress right now we don’t feel opportunity constrained in terms of when I look at our pipeline. 
Unknown Analyst: Okay. And just kind of a related question, and obviously it’s more long-term, but any updates on the 2 large mixed-use Atlanta development, Fort McPherson and the big Multi-Model project? 
Larry Gellerstedt: We continue on the Multi-Model project to be actively working. We got a team working full-time on it with 4 city, that’s a long entitlement process to go through, getting all the federal permits and various things there. I’d say the project is tracking ahead of schedule on the whole design and permitting standpoint. The funding component of it, with everything going on at the federal level is still, I wouldn’t say it’s less clear than it was, it’s just -- it’s 2 to 3 years out, I would say and I would put Fort McPherson in the same category. 
Unknown Analyst: Okay. A question for Gregg. Can you talk about the solid expense performance, you guys had in the quarter, just maybe a little bit about kind of what the key drivers of the expense reductions were? 
Gregg Adzema: Yes. There’s obviously on the expense side, there could be a lot of moving parts, but I would compliment 2 primary things, Jeff. First, I think that our team is doing a great job in just keeping a lid on operating expenses, it’s a focus and they’re doing a terrific job in executing it. Secondarily though, and what’s also driving the numbers a good bit, is that we’ve been very successful at tax appeals. and so we’ve seen some reductions in tax bills that are flowing now through the income statement. 
Unknown Analyst: Okay, great. And just a last one from me, do you guys have an estimate on mark-to-market rents for your portfolio today? 
Gregg Adzema: Yes. I don’t have that at the top of my list, Jeff. I don’t have that number. 
Operator: And our next question is a follow-up question from the line of Jamie Feldman with Bank of America Merrill Lynch. 
James Feldman: Great. Just a quick question on your discussion of having excess cash, given your FADPR, I think in the quarter was like 50%, how are you guys thinking about the dividend, and then maybe even a special dividend with the portfolio restructuring in the current NOI stream? 
Gregg Adzema: I’ll start out with the special dividend, Jamie. We’ve managed our tax exposure very carefully. So there’s no need for a special dividend in the foreseeable future unless something were to change. So we’ve done a good job with that, and then in terms of just the raw dividend that’s recurring common dividend, you’re right, our FAD during the quarter was $0.09, our dividend is $0.045, so we’re only paying out about 15% of our FAD. The board will make the ultimate decision what the dividend policy is, but as Larry and I talked about, the last a little bit, this capital recycling effort comes with some dilution exposure from an earnings perspective, as stuff works through. And so we want to make sure that we’re always in a position that we adequately cover our core quarterly dividend, no matter what the capital recycling program generates, and when the time comes that we get kind of through the highest velocity period for our capital recycling, which is this kind of ‘12, ‘13 period. I think it will be easier for us to take a look at that, and maybe not leave quite as much buffer in between our FAD and our dividend. 
James Feldman: Okay. So basically, you kind of feel like at the current level makes sense, and you’ll see where you can put capital to work? 
Gregg Adzema: Yes. Let’s play out the end of ’12 and ‘13 in terms of capital recycling, and then I think we’ll be able to really start to -- I guess to reduce that contingency in ‘14 going forward. 
Operator: There are no further questions at this time. I would now like to turn the conference back to Mr. Larry Gellerstedt. 
Larry Gellerstedt: We just appreciate people being on the line, and once again, those up the eastern seaboard, I hope you know that we’re very sincere, and our hopes and thoughts being with you all, that that area recovers quickly, and that things return to normal as soon as possible. Thanks for joining the call today. 
Operator: Thank you. Ladies and gentlemen, that does conclude today’s conference call. We thank you for your participation, and I ask that you please disconnect your lines.